Operator: Good afternoon, everyone, and welcome to Superior Group of Companies Third Quarter 2022 Conference Call. With us today are Michael Benstock, the company’s Chief Executive Officer, Mike Koempel, the Chief Financial Officer, and other members of the senior management team. As a reminder, this conference call is being recorded. This call may contain forward-looking statements regarding the company’s plans, initiatives and strategies and the anticipated financial performance of the company, including, but not limited to sales and revenue. Such statements are based upon management’s current expectations, projections, estimates and assumptions. Words such as will, expect, believe, anticipate, think, outlook, hope and variations of such words and similar expressions identify such forwardlooking statements. Forward-looking statements involve known and unknown risks and uncertainties that may cause future results to differ materially from those suggested by the forward-looking statements. Such risks and uncertainties are further disclosed in the company’s periodic filings with the Securities and Exchange Commission, including, but not limited to, the company’s annual report on Form 10-K for the year ended December 31, 2021, and the quarterly reports on Form 10-Q. Shareholders, potential investors and other readers are urged to consider these factors carefully in evaluating the forward-looking statements made herein, and are cautioned not to place undue reliance on such forward-looking statements. The company does not undertake to update the forward-looking statements contained herein except as required by law. And with that, I will turn the floor over to Mr. Benstock. Sir, you may begin.
Michael Benstock: Thank you, operator, and welcome everyone to our third quarter 2022 conference call. This afternoon, I will begin as usual by sharing highlights relative to our third quarter results. And then, I’ll discuss the performance for each of our three business segments, including our evolving strategy to capitalize on the growth opportunities ahead of us, and how we’re managing through the current macro environment. Mike will then provide more details on our financial performance for the quarter, and our outlook for the year. We’ll finish with Q&A, which will be joined by other members of our executive leadership including our Chief Strategy Officer, Phil Koosed, our COO, Andy Demott, the President of our Branded Products segment, Jake Himelstein, the President of our Healthcare Apparel segment, Catherine Beldotti Donlan, and the President of our Contact Centers segment, Dominic Leide. Overall, for the third quarter consolidated revenues of $138.7 million, grew 12.5% versus the third quarter of 2021 led by continued growth in the Contact Centers and Branded Product segments. Consolidated third quarter adjusted EBITDA of $9.7 million, decreased from $12.6 million versus the third quarter of last year, primarily driven by revenue decline in our Healthcare Apparel segment, due to continued softness in the healthcare market. Now, looking at the results by segments, we’ll start with our Healthcare Apparel segment. During the third quarter, Healthcare Apparel revenues of $30 million, were down 15% to last year, reflecting continued softness in the healthcare market. EBITDA for the quarter was $2.2 million, down from $6.4 million last year. While healthcare results are clearly below our expectations, both revenues and EBITDA did improve compared to the second quarter of this year. During the quarter, we began to see positive momentum with our institutional customers. But that improvement was more than offset by continued challenges in the retail market due in part to saturated inventory levels. Despite the short-term challenges this year, we believe in the long-term growth of the Healthcare Apparel market and our ability to improve profitability. SGC operates numerous highly recognizable brands in Healthcare Apparel with more than two million essential caregivers wearing our brands every day. We continue to offer one-stop shop solutions and the widest range of products in the market. In order to capitalize on what is a large and growing market, we’re working toward adding new products, markets and customers, as well as broadening our omni-channel approach. Turning next to our Branded Product segment, revenues of $87 million, were up 21%, compared to the third quarter of 2021, which was primarily driven by sales attributable to the Sutter’s Mill and Guardian acquisitions in December 2021, and May 2022, respectively. EBITDA for the quarter was $5.6 million, down from $6 million last year. The slight decline in EBITDA was due to an increase in SG&A, driven by investments in talent and technology to support future growth. For Branded Products, including branded merchandise and uniforms, the total addressable domestic market of $26 billion remains highly fragmented. Our quality branded offerings are unique and customized, and yet our market share is less than 2%, again suggesting a long runway for growth. Now, turning to our Contact Center segment during the third quarter, our Contact Center segment generated third quarter revenues of $23 million, for a year-over-year growth rate of 30%. Our EBITDA margin remained strong at 22%, again reflecting how attractive this high growth business is for our overall financial performance and creation of shareholder value. Our investments in this business, such as opening in our fifth country at Contact Center in the Dominican Republic during the quarter, will drive our ability to grow our existing customers’ agent counts as well as take on larger customers to accelerate our growth rate. Our pipeline of potential customers remains very strong. With the highest EBITDA margin among our three segments, the continued strong growth of our Contact Center segment will have positive implications for our overall SGC margins and profitability. With that, I’ll turn it over to Mike to review our financial results in greater detail.
Mike Koempel: Thank you, Michael, and good afternoon, everyone. Turning to the financial highlights of the third quarter, SGC reported consolidated revenues of $138.7 million versus $123.3 million during the third quarter of 2021, an increase of 12.5%. Our gross margin was 36.5% for the quarter, compared to 37.1% in the third quarter of 2021. The decrease in gross margin was driven by incremental inventory reserves for slow moving items, and manufacturing variances resulting from lower production volume in our Haiti facility, which was planned as part of our inventory reduction initiative. SG&A expenses as a percent of sales were 31.6% for the quarter compared to 28.4% for the third quarter of 2021. The third quarter SG&A includes a $1.8 million benefit associated with a fair value adjustment of a stock put liability. Overall, the increase as a percent of sales, was due to expense deleverage resulting from the 15% decrease in Healthcare Apparel sales. In addition, we had higher expenses associated with additional headcount and infrastructure costs to support growth in our Branded Products and Contact Center segments, depreciation and amortization, and severance. Interest expense for the quarter was $1.8 million compared to $320,000 last year. The increase is driven by the write-off of approximately $550,000 of deferred financing costs related to our debt refinancing in August, and increased interest rates on higher average debt outstanding. The net loss was $12.7 million, or $0.80 per diluted share, compared to net income of $8.2 million, or $0.51 per diluted share for the third quarter of 2021. During the third quarter of 2022, the company experienced a decline in market value, thereby triggering the requirement to perform a quantitative goodwill impairment test. Based on the analysis, we recognized a pre-tax, non-cash impairment charge related to our remaining goodwill of $21.5 million or $17.1 million net of tax, or $1.07 per diluted share. This charge does not affect the company’s cash position, cash flow from operating activities or bank debt covenants and has no impact on future operations. Excluding the impairment charge, third quarter net income was $4.4 million, or $0.27 per diluted share, compared to net income of $8.2 million or $0.51 per diluted share for the third quarter of 2021. SGC remains well capitalized and continues to operate effectively across all of its markets. SGC has shown its resilience by managing through challenging times with the continued emphasis on profitable growth opportunities and by focusing on improving operational and financial efficiencies. In terms of the balance sheet and cash flow, cash and cash equivalents, as of September 30, 2022, were $18.9 million. Consistent with prior quarters, operating cash flow continues to be negatively impacted by elevated inventories. As a result, we continue to significantly reduce our buying levels, which will enable us to reduce and optimize our inventory levels in 2023. Our net leverage ratio of 3.4 times our covenant EBITDA is elevated, but remains below our covenant limit. We remain focused on our expense management and inventory optimization efforts in order to reduce our leverage over time. Consistent with our focus on inventory, we are tightly managing our capital spending with an emphasis on business critical investments only. As a result, our year-to-date capital expenditures are down over 20% from last year. Also, SGC remains committed to returning capital to our shareholders and announced a dividend of $0.14 per share during the quarter. As we mentioned, in our second quarter earnings call, we identified at least $8 million in annualized cost savings. Recognizing the challenging macroeconomic environment, we remain committed to delivering the savings and we will continue to evaluate all areas of our business for any further operating efficiencies. Lastly, in terms of guidance, we are updating our full year 2022 sales guidance to reflect sales ranging from $570 million to $580 million, as compared to our previous range of $575 million to $590 million. With that, I would like to ask the operator to open the line for questions.
Operator: Ladies and gentlemen, at this time, we will open the floor for questions. [Operator Instructions] We’ll pause momentarily to assemble the roster. And our first question today comes from Kevin Steinke from Barrington Research. Please go ahead with your question.
Kevin Steinke: Hey, good afternoon. I just wanted to start off by asking about the overall demand environment as you see it for Branded Products, given current economic uncertainty, have you seen any meaningful pullback and customers’ marketing budgets yet or how do you view your ability to continue driving share gains, I guess, any more flavor for the demand environment and sales trends as you see them going forward?
Michael Benstock: We have Jake on the call. So Jake will take that one from you, Kevin. Kevin, thanks for joining us, Jake, why don’t you jump in?
Jake Himelstein: Hey, Kevin, thanks for the question. We do continue to operate in a challenging environment. A lot of events and in person conferences have returned, right, coming out of COVID, Q2, Q3, we’ve seen a return to events and conferences, which generally is a good signal for Branded Products. But the flip side of that is, higher interest rates and recession concerns, generally the first thing to pull back is marketing spend. But with every other time we’ve seen this in our history we combat this through getting a bigger share of wallet from our existing clients and pursuing new clients. So referrals, RFPs, talked about it in prior quarters, Kevin, where our RFP pipeline has been really, really strong. And that strong pipeline in the past couple quarters has pulled through to some big RFP wins in the last couple of months and those will start delivering revenue in 2023. So it’s really acquiring new clients, growing market share, being really active in our sales rep recruiting, right, our competitors struggle more than we do in this kind of operating environment. They don’t know how to react, they pull back support, they lessen their tech investments. We are a really appealing landing spot for sales reps and clients in a difficult operating environment. So that will be a really strong growth path for us over the next couple of quarters and everything we look at is, right, tech’s taken a really big hit in this year-to-date. And we’re pretty diversified in terms of industry across branded products and branded uniforms, so that allows us to kind of shield any single industry from having too big of a weight on our results overall.
Kevin Steinke: Okay. Thank you for the color, Jake. I wanted to also ask about the Healthcare Apparel segment, you noted some improvement on the institutional side, offset by some continued softness in retail due to elevated inventories. Do you have any further visibility perhaps just on levels of inventory in the retail channel and kind of timeline to some of those being worked down or is it still fairly murky at this point? Catherine, I’ll let you jump in on that.
Catherine Beldotti Donlan: Sure. Hi, Kevin. Thanks for the question. From an overall healthcare standpoint, I wish I had a crystal ball on when we are going to see a shift from an overall economy marketplace standpoint. We are very similar to many consumer brands out there that are working through elevated inventory level, as consumer demand really stabilizes, or we hope stabilizes in the future. What I would say Kevin is, we quite frankly are really focused on thinking about where and how we want to take the healthcare business in the future and are really doubling down on our initiatives to reset and reignite our brand to really drive our omni-channel presentation, and to really approach our marketplace with much more of a focused invest-to-grow strategy with our retail partners. So my longwinded way of answering is, while we are hopeful we don’t have any insight into the overall macroeconomic conditions that may provide a timeline for relief.
Kevin Steinke: Okay, I understood. I understand that. And, so just, Catherine, as long as you’re talking, I mean, I wanted to ask about also you mentioned there the omni-channel strategy in healthcare, and now that you’re a few more months into the job, and to any extent that you can discuss any plans or more vision for where you’re going to take that business from a sales channel, omnichannel perspective, I would be interested to hear any thoughts.
Catherine Beldotti Donlan: Yes, absolutely. Thanks. We have really been focused on investing in talent, as well as, digital tools. And when I first started with the talent standpoint, I believe, I mentioned last time that we brought on an SVP of Digital, Holly Rayner, who is leading our efforts. She started on, I want to say at the beginning of September. So we’re really thrilled to have her on board. And she is going to help not only create, but also drive our digital strategies, whether that’s with marketplaces, whether that’s with our retail partners. But she is focused on elevating how we tell our story and how we show up in the marketplace, and we see that as a primary growth initiative. The other thing that we’re really focused on is resetting and reigniting our WonderWink brand. We are taking this opportunity, we have brought in Sue Kapllani who is a seasoned brand and marketing executive, who is helping us really work on our positioning and brand strategy. So we are looking forward to bringing that elevated level of storytelling to the marketplace. And when I think about the marketplace, we’re really trying to focus on this invest-to-grow strategy, really trying to narrow in on our key partners by channel of distribution, where we believe that we have the best opportunity in partnership to tell our branded story and create more of a consumer environment.
Kevin Steinke: Okay, thank you. I also wanted to hit on the Contact Center segment as well, obviously, some continued strong growth there. Is your Dominican Republic operation up and running now and maybe just an update on number of billable agents added year-to-date, and plans for adding capacity as we move over the next few quarters here?
Michael Benstock: Dominic, that’s all yours.
Dominic Leide: Yes. Great questions, Kevin. So on the Dominican Republic, yes, we are operational. It was actually a slower start than what we hoped for, due to a fair amount of bureaucracy. But, now that that’s out of the way, we started hiring in October, just roughly a month behind schedule, but we’re rocking and rolling now, we’re really excited about the potential for the Dominican Republic for the Office Gurus. In terms of additional capacity, right now, I think we’re well positioned to support the growth from both existing customers, and the potential customers that we have in the pipeline. So we don’t see any immediate future investments in capacity and additional capacity right now as it stands.
Kevin Steinke: Okay, thank you. And just lastly, I wanted to ask about any supply chain issues, if you’re continuing to experience any meaningful disruptions, I know there’s a lot of headlines around China. And then, I guess, connected to that, how are inflationary headwinds trending for you now, they kind of calmed down or how elevated do they remain for you?
Michael Benstock: Okay. I get to take a question. This is Michael. Thanks Kevin. We are not having any supply chain issues related to China or anywhere in Asia or really related to anywhere that we’re currently sourcing raw materials or producing garments or promotional products that, our own ports in the US have definitely, the traffic has eased up. There’s still a fair amount of chassis shortage in the United States, just getting things from the port. But that usually results in a few days up to a couple of weeks delay at most and not always but sometimes. There’s a certain uncertainty about that, but it’s really not in our way at all. As far as inflationary pressures, yes. We saw…I’ll just give you a couple of examples. We saw fabric from the beginning of 2021 to the end of 2021 go up by over 16% and it has eased down as this year has moved on. It’s in the single-digits now, in the mid-single digits compared to what it was at year end. So we’re definitely seeing an easing there logistic costs have come down. Of course, that doesn’t affect us necessarily. Our inventory sitting on the shelf, and the cost of our inventory on the shelf unfortunately carried a lot of those higher logistic costs, as well as, the higher fabric costs. So that’s something we’ve got to deal with and we’ve dealt with that through raising prices to customers to offset most of that. And so our own costs of employment in the US are higher than they’ve ever been, both in our distribution centers, as well as, support functions. There is, you know, fortunately for us, a lot of the hiring that we do for our uniform divisions and our branded merchandise divisions are actually done offshore where there’s a larger abundance of help that is not at such a high rate of pay. But it definitely, there are challenges with respect to pay around the world, and whether it’s logistics or raw materials or garment manufacturing that are going to continue, but as they continue for us, they also continue for all of our competitors. I would hope and I presume that we are doing a better job with this than most of our competitors, which ultimately should make us more competitive when we get to competitive situations.
Kevin Steinke: Okay, thank you for all the insight and I’ll pass it along. Thanks.
Michael Benstock: Thanks, Kevin.
Operator: Our next question comes from Tim Moore from EF Hutton. Please go ahead with your question.
Tim Moore: Thanks. It was nice to see the sequential margin improvement for both gross margin, EBITDA. And given that, so my questions were already asked. I just want to start out with separate from Healthcare Apparel, which you commented on. What’s the general sentiment for the other branded uniform side when you keep in touch with your customers and see their behavior? You know, there are some layoffs obviously being announced? What are they sharing with you and has their behavior changed a lot since the end of the summer?
Michael Benstock: Jake, do you want to jump in on that?
Jake Himelstein: Yes, Tim, Hi. As it relates to branded uniforms, typically higher churn, higher turnover amongst employees is actually good for us, right? I mean, that there’s more uniforms being purchased. So we typically see that in times where there’s higher turnover, people are leaving jobs at a higher pace. That’s good for us, in space like the airlines or in QSR. Someone might trade down uniforms-- go from a more expensive garment to a less expensive garment, but they might be using more of them. I don’t want to call the branded uniform segment completely recession proof. But typically not as significantly impacted in a recession as you might see in the overarching branded merchandise case, which we talked about earlier and how we’re attacking that by gaining market share. But on the uniform side as well, we see the same thing across the board where our competition is downsizing. And so, they might cut out a tech build or they might leave a warehouse or an international location. And that leaves us where we’ve invested heavily in our technology and heavily in our people as a really appealing landing spot for a lot of these big RFPs we’ve been working on the last couple of quarters.
Tim Moore: Great Jake. That’s really helpful color and thanks. It’s not recession proof, but turnover it can actually be helpful for you. Just switching gears maybe for Catherine, I’m just thinking back to this time last year or so, if my memory serves me correct, I think, maybe by this upcoming Thanksgiving that was around the time that your retail healthcare business was maybe starting to see some of the decline on apparel and scrub side. So, I’m just wondering now that you’ve been there for several months, are you able to leverage the POS data anymore? In case, and I’m thinking kind of the opposite here in case there is a sizable step up in demand in February or March to really go and fulfill some of those depleted stock levels for customers and distributors. Just wondering, things, I don’t know if they’ll turn on a dime, but if they do, play some catch up, would you be ready to be able to supply that if things turn sharply the other direction positively in the late winter?
Catherine Beldotti Donlan: Yes, and that’s…
Michael Benstock: No. Go ahead, Catherine. Take it.
Catherine Beldotti Donlan: I’d just say, yeah, that’s a great question. And one of the disciplines that we’ve really installed is ensuring that we are not only analyzing our POS data, but how we act upon it both internally through implementing a S&OP process, but also externally with recommendations to our customers. So, we are working on that now. And quite frankly, where it becomes the most impactful is with new products that we have introduced to the market where we’re starting to see some nice consumer adoption through our POS rates. So, our focus is to continue to make sure that we are investing from an inventory standpoint on really those collections that we know that the consumer is leaning toward and showing us that they are purchasing through specifically the POS data. So, in terms of being able to act on it, I am confident that we are with what we know today in terms of trend and consumer purchase.
Michael Benstock: Yes, I’ll jump in also, Catherine wasn’t here last November when things started to fall off. But that definitely about mid-November last year was when we started seeing some impact from the fall through sales in the surplus and the economy starting to turn in fear of at that point of another strain of COVID, I don’t remember what it was be it one, four or five whatever it was. But what I can assure you is, we are sitting with a lot of inventory. And we are well positioned for wherever spike should happen and we are doing everything we can to try to create that spike for our products and that demand for our products. We will be able to service. And that’s the comforting part, I wish we were…quite frankly, I wish we had a bigger challenge in handling the spike, as we are sitting with inflated inventories, as a result of all this fall-off in purchasing.
Tim Moore: Yes Thanks, Catherine and Michael for the detail and color. Maybe just switching gears. I know Dominic spoke earlier about this. I’m just trying to wrap my head around the Office Gurus and the contact center. Even if the Dominican Republic started a little bit late, because of regulation, pushed it out a few months. Do you think that Dominican Republic can get up to maybe 1,500 seats? And I’m just trying to think about the incremental value over time, if you look at maybe 18, 24 months, maybe 24 months from now, it’s available seats, something like 30,000 per region, I mean, could the Dominican Republic hit $45 million in revenues, if it catches on quite well, and get the 1,500 seats?
Michael Benstock: Dominic?
Dominic Leide: I’ll take that one, that’s a good question. As of right now, the DR is, it’s still in its beta phase, which it will remain there until probably mid-next year, and then we’ll make a decision on whether or not we can expand there or, like I said earlier, we’re really bullish on the DR. We think it’s going to be a great location for us. But you know, we…time will tell, starting at the center, takes some time, we’ve got to get a feel for the labor force. What we’ve seen with the group that we’ve hired so far, is a really eager labor force that wants to come try out our brand. So, we believe we’re going to have a good future there. How big we’ll be in the DR, time will tell.
Tim Moore: And just maybe as a quick follow up, how’s it going with the seats added in El Salvador, Belize, in Jamaica this year? Are you seeing that being pretty strong uptake?
Dominic Leide: We’re still going strong in El Salvador, Belize and in all of our current countries. Right now, we still, from a capacity standpoint, we still have 63% of our agents working from home and performing very well. I mean, the good news is, we have multiple paths to ensure that we have the capacity we need if things start to shift, and we need to bring more of our agents back to the building. But yes, right now, Belize and El Salvador are still going strong. We we’re still modeling everything out to see what they do, because we don’t know what the future is going to hold in terms of a steady state work from home/in center ratio, but we definitely have the capacity, right, that we need, to support whichever way it goes.
Tim Moore: That’s terrific. It’s been a phenomenal business. I think, some investors don’t appreciate as much as they should. But I really appreciate that color, Dominic and that’s it for my questions.
Dominic Leide: Thank you.
Operator: And our next question comes from Chris Sakai from Singular Research. Please go ahead with your question.
Chris Sakai: Hi, everyone. Yes, I just had a question on branded products. Can you talk about the orders size as you are seeing there and…are they growing or they stagnating, and I will provide some color there? That would be great? Thanks.
Jake Himelstein: Hi, Chris, this is Jake. We are seeing order sizes drop certainly as the economy goes, as the marketing budgets are cut. But, that has been more than made up for by more orders, increased order size and winning new customers. But, certainly when you look kind of sequentially year-over-year, you will see marketing budgets cut in a recession right? And someone might order 100 of something one year, they might order 90 in the next year, just an example. But, typically, we make up for that with a larger share of wallet with our existing clients and winning new clients.
Chris Sakai: Okay, alright. Thanks. And then what are the growth drivers for healthcare, and how should we view that and going forward?
Catherine Beldotti Donlan: Chris, I think, I’ll take that one. When we think about the growth drivers from the healthcare standpoint, we’re looking at a couple of different things. And I think it starts with what I referred to earlier about resetting and reigniting our WonderWink brand. We’re really excited about just elevating our storytelling and really being able to communicate, why there’s such tremendous consumer benefits to our innovative products. So I would start with that as, first and foremost, the most important. Secondly, what’s really important is we’re really focused on accelerating our connectivity through digital and that refers to how we are thinking about the digital ecosphere, whether it’s through marketplaces, or omni-channel partners, and really elevating how we bring product to market and how we talk to the consumer, whether it’s about our WonderWink brand, or within our portfolio of brands. I would say the other focus from a growth driver standpoint is on, if I think about overall from the healthcare, we are really doubling down on what we call our invest to grow partners. And that is ensuring that we are focused on investing, planning, putting together sort of mutually beneficial growth plans from a distribution and channel standpoint, so that we are able to come together and go-to-market as a unified brand from a storytelling standpoint, which gives us the opportunity to really create much more of that share of mind and share space within the retail standpoint. And, lastly, and certainly not least, is new products and new innovation, we’re really focused on developing our Spring 2024 line and bringing newness to market from a material and fit innovation standpoint.
Chris Sakai: Okay, thanks. And lastly for me, I know, you mentioned…I know, Mike mentioned that you’re passing on pricing and price inflation to the customer. I want to ask, is that all…is it 100% of the inflation or can you provide any color there?
Mike Koempel: Yes, we actually, I think spoke about earlier on earnings calls about the fact that we had done a price increase at the beginning of this year. We also did one in mid last year. And, we’ve tried to stay ahead, for most customers, we go through a process for most large deals and most large customers of going through a cost analysis on activity based costing analysis that actually pins down the exact cost of that customer, including all the services that we provide, not just products but services that we provide. And, we think, we’ve stayed mostly ahead of it, obviously, the supply chain issues have sometimes slowed down our ability to do that, sometimes product has come in early and we’ve been able to work through that pretty quickly. But, we believe that in the long-haul, we’ve compensated and mitigated most of the risk that inflation would continue to eat away at our margins.
Chris Sakai: Okay. Thanks for the answers.
Operator: And, ladies and gentlemen, with that, we’ll be concluding today’s question and answer session. I’d like to turn the floor back over to Mr. Benstock for any closing remarks.
Michael Benstock: Yes, thank you very much, and I want to thank all of you for joining our call. I do want to mention that my brother Peter Benstock, after nearly a 40 year career retired last week. Prior to retiring, he was the President of our Healthcare division and did a wonderful transition with Catherine, so that she could hit the ground running, which she certainly has. We want to wish him well in his retirement. Please don’t hesitate to reach out with any additional questions. We certainly look forward to keeping you posted on our progress in the coming months as we continue to capitalize on the many growth opportunities ahead for all three of our business segments. And thanks again, stay safe. And have a great evening. Thanks for joining us.
Operator: And, ladies and gentlemen, with that, we will conclude today’s conference call and presentation. We do thank you for joining. You may now disconnect your lines.